Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2012 Tutor Perini Corporation Earnings Conference Call. My name is Derek and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. 
 I would now like to turn the conference over to Mr. Mike Kershaw, Chief Financial Officer. 
Michael Kershaw: Thanks, Derek, I appreciate it. Good afternoon, everyone. Thank you for joining us on Tutor Perini's first quarter conference call. With us today is Ron Tutor, our Chairman; and our President, Bob Band.
 Before we start, I'd like to remind our listeners that our comments today will contain forward-looking statements, including statements about future guidance. Management may also make additional forward-looking statements in response to your questions. These types of written and oral disclosures are made pursuant to the Safe Harbor provision contained in the Private Securities Litigation Reform Act of 1995.
 Investors are cautioned that such forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from anticipated results. The company cautions that any such forward-looking statements are based upon assumptions that the company believes are reasonable, but that are subject to a wide range of risks, and actual results may differ materially.
 These risks and uncertainties are discussed in detail in our filings with the SEC, including Tutor Perini's annual report on Form 10-K for the fiscal year ending December 31, 2011, our definitive proxy statement filed on April 19, 2012, as well as in today's news release.
 Our statements made on this call are as of today, May 4, and the company undertakes no obligation to update any of these forward-looking statements contained in the call whether as the result of new information, future events, changes in expectations or otherwise.
 Having said that, it's my pleasure to turn the call over now to our Chairman and CEO, Ron Tutor. 
Ronald Tutor: Thanks, Mike. Good afternoon, everyone, and thank you for joining us on the call. 
 The first quarter of 2012, we experienced our usual slow start at the beginning of the fiscal year due primarily to the seasonality, winter, snow and weather in most of our areas of operation that have historically created a slow first quarter, both in revenue and in profit.
 We had 2 very specific non-recurring items that impacted our earnings this quarter. We sold 3 of our auction rate securities, namely, the aim back [ph] securities, which were the most volatile and high-risk, and as such, realized a $2.7 million pretax loss or a net $0.04 per share. And as the result, eliminated any future risk of impairment on these securities. The remaining securities are solid, guaranteed and, we believe, functioning in a manner that's acceptable to us.
 In addition, we identified a very specific and highly technical tax issue related to certain stock-based compensation that went back over the last 3 years, creating a discrete impact on our tax provisions for the quarter of $3.6 million, or $0.07 a share, that went back and corrected the 2008, '09, and '10 years, as well as '11. Excluding these 2 nonrecurring items, diluted earnings per share would have been $0.08 for the quarter, which is more in line with our expectations for the first quarter.
 Our Civil segment continues to be a significant area of future growth. The volume of large infrastructure product bidding opportunities remains significant. For example, we have been selected as one of a limited number of bidders on 3 of the most significant projects in the U.S.: The $3 billion-plus Tappan Zee bridge replacement in New York, the $1.5 billion East End Crossing P3 project for the Indiana Finance Authority, and the $5 billion California High-Speed Rail project and all its components. To be shortlisted on these high-profile projects is a testament to our technical capabilities, experience and financial wherewithal. These projects represent the size, scale and complexity that we best believe suits our company.
 In addition to these 3 major projects currently bidding, all of which by October 1, we are in the process and have turned in recently one of a number of bids in New York City that over the next 3 months should approximate an additional $2.5 billion in hard money bids for further New York City work.
 We estimate further the size of our prospective opportunities continuing in Civil infrastructure to be another $15 billion to $17 billion over the next 12 months.
 In the nonresidential building markets, we are continuing to see major opportunities. For example, during the first quarter, we were awarded 2 casino projects, with a combined contract value of $180 million. And we expect to book an Indian casino in Northern California, where all agreements are in place and should be able to announce within the next week to 10 days another $172 million.
 We are seeing a pickup in gaming opportunities in the eastern U.S. and parts of the West. And we believe, of course, we are positioned to take advantage of that.
 We continue to progress on construction preparation for the Hudson Yards development in Midtown Manhattan. We expect to add approximately $1 billion in backlog for this project in the second quarter, namely, a residential tower and a 2 million square foot plus office tower, all breaking ground in 2012.
 Work has begun on the residential tower and we expect the office tower to break ground in October. 
 We have specifically identified and are tracking approximately $20 billion of targeted project in our building segment that we expect to propose on in the next 12 months, 60% of which are private sector and 40% public sector. 
 Our integrated service capabilities, including Project Management, Specialty Contracting and Civil Construction, continue to increase our control over price and schedule, and represent the kind of competitive advantage we believe we need to continue to succeed on large-scale awards.
 The Specialty Contractors segment has an active pipeline of more than $4 billion in targeted projects that will be bid and awarded in the next 12 months. Our building in civil groups continue to utilize our specialty contractor in a continuation of our integrated approach to bidding large-scale work.
 We ended the quarter with $5.9 billion of backlog, a 3% decrease over the prior quarter. Our total backlog mix is 37% Building, 36% Civil, 22% Specialty and a balanced Management Services. New contract awards and investment to contracts and process during the first quarter added $721 million to backlog. Those major awards during the quarter were a $97 million casino in Louisiana, an $82 million casino in Arizona, $72 million of civil infrastructure in the Midwest, a $49 million mechanical subcontract for the Alaskan Way viaduct in Seattle, $30 million electrical contract in Texas, and a $26 million educational facility in Oklahoma.
 Currently, we have approximately $4.3 billion in pending award, including $2.5 billion in mixed use buildings, $1.1 billion in hospitality and gaming, $308 million in education, $189 million in correctional facilities, $160 million in health care, and $147 million of highway and transportation. These awards are expected to enter our backlog over the next 2 quarters.
 Now I'd like Bob Band to share the details of Management Services. 
Robert Band: In the Management Services segment, we are continuing to participate in 9 multi-year indefinite delivery, indefinite quantity contracts for a diverse array of U.S. government agencies. The aggregate program value for these IDIQ contracts is in excess of $15 billion for all participants. These programs include the U.S. Navy program for the relocation of U.S. Marines from Okinawa to Guam; the U.S. State Department worldwide construction program for containerized housing and offices; 2 USAID contracts, one for vertical structures and another for water and energy, both in Afghanistan; the Central Command MATOC contract for the U.S. Army Corps of Engineers Middle East District; the U.S. Coast Guard Department of Homeland Security work for agencies such as FEMA and ICE; and the Fish and Wildlife Service multiple award contract for the U.S. Department of the Interior; as well as 2 contracts with the Air Force SATOC and HERC, which cover both the U.S. and international bases. We are actively pursuing work under all these programs, which provide us with greater visibility into our new work pipeline throughout 2012 and beyond. 
 We estimate the size of prospective opportunities in our Management Services your target market to be approximately $3 billion for projects that will be bid and awarded over the next 12 to 18 months and we continue to seek additional multiple award contracts from U.S. government agencies.
 It's interesting to note that on April 26, 2012, the U.S. and Japan reached a further agreement on a long-stalled plan to move 9,000 Marines out of Okinawa and stationing 5,000 of them in their dependence on Guam. The Japanese government has now agreed to pay $3.1 billion of the $8.6 billion cost of expanding military facilities in Guam.
 Work currently in backlog continues to produce solid results. The $115 million task order under the U.S. Department of State for containerized housing and office facilities in Southern Iraq is achieving good progress and the $75 million task order for the U.S. Navy MACC for an aircraft parking apron at the Andersen Air Force Base in Guam is well under way. In Iraq, we have recently been awarded and have been issued a notice to proceed on a $55 million overhead cover project by the U.S. Army Corps of Engineers.
 In Haiti, we recently announced we've been awarded a $12.7 million electrification project by USAID, which we believe will be the first of many projects that we'll be successful upon in Haiti. We anticipate increased activity in Haiti, in Afghanistan and Guam, as well as increased contract completion assignments to the U.S., which are surety clients.
 Now, Mike Kershaw will you the financial details for the quarter. 
Michael Kershaw: Thanks, Bob. 
 Revenues for the quarter were $912 million, a 48% increase from $615 million reported in the first quarter a year ago. Our revenue growth in the first quarter was primarily driven by recent acquisitions. Our total gross profit was $86 million, an increase of 38% from $62 million in the first quarter of 2011. Overall gross profit margins decreased from 10.2% to 9.4%. General and administrative expenses were $69 million, up from $44 million in the first quarter of 2011. The increase reflects companies that were acquired that were not included in the first quarter of 2011.
 We had income from construction operations of $17 million, an 8% decrease from $18.5 million in the first quarter of 2011.
 Operating margins were at 1.9%, down from 3% a year ago. Our resulting net loss was $1.2 million as compared to net income of $6.9 million in the first quarter of 2011. Diluted loss per share was $0.03 as compared to $0.14 of earnings last year.
 As Ron mentioned, results for the first quarter included a $2.7 million loss related to our sale of auction rate security holdings and the $3.6 million impact of discrete tax adjustments. Excluding those non-recurring items, the resulting net income would have been $4 million and diluted income per share would have been $0.08.
 I'd like to point out, in our press release, we've added a table that covers revenue and operating income by group. 
 Revenues from our Building group were $341 million, a 6% decrease from the first quarter of 2011. The Building group experienced a decline in volume, primarily due to the substantial completion of a large, successful public works project in Las Vegas and the completion of large hospitality and gaming projects in New York and Las Vegas. This decrease was mostly offset by the addition of Anderson.
 The Building group reported a loss from construction operations of $8.9 million, down from an income of $11.3 million in the first quarter of 2011, due primarily to the underlying change in mix of work from public to the more competitive private market, increased G&A from the Anderson acquisition and costs associated with the mobilization of operations on the East Coast, where we have several high-quality pending awards led by a recently announced Hudson Yards development project.
 Revenues from our Civil group were $249 million, an increase of 99% from $125 million reported in the first quarter of 2011. The increase is primarily due to the acquisitions of Frontier-Kemper and Lunda. 
 Civil group income from construction operations were $16.9 million in the quarter, a 29% increase from $13.1 million in the first quarter of 2011. Operating margins were 6.8%, compared to 10.4%.
 The decrease in margins is primarily due to work performed on approved change orders and claims during the period, which we expect will provide additional profit in the future when these change orders are approved, and the substantial completion of several successful public work projects on the East Coast during early 2011.
 Revenues from our Specialty Contractors group was $267 million and income from construction operations was $19.7 million, the majority of which was generated by the recent acquisitions.
 Operating margins were 7.4% for the quarter, reflecting the performance of some of our New York area projects. 
 Revenues from Management Services were $55 million, an increase of 45% from $38 million reported in the first quarter of 2011. The increase is due primarily to continued progress on a containerized housing project in Iraq and an Air Force Base project in the eastern United States.
 Management Services income from construction operations was $1.9 million, a decrease of 27% from $2.6 million in the first quarter of 2011. Operating margins decreased to 3.4% compared to 7%, primarily due to substantial completion of a successful U.S. Military facility project in Iraq in early 2011 and increased competition on new work.
 Interest expense increased to $11.1 million from $7.2 million in the first quarter of 2011 due primarily to increased interest expense on our term loan, which was entered into in August 2011. The provision for income taxes was $4.8 million compared to $4 million in the first quarter of 2011. The effective tax rate for the first quarter increased from 36.5% in 2011 to 133.7%. 
 As discussed earlier, 2012 provision for income taxes includes non-recurring discrete items of $3.6 million related to an increase in unrecognized tax benefit and an adjustment, both associated with certain stock-based compensation items identified during the current period.
 We expect our 2012 fiscal year tax rate to approximate 38%, excluding those discrete items.
 At this time, we are reaffirming guidance for 2012 with estimated revenues in the range of $4.5 billion to $5 billion. And excluding the recurring -- non-recurring items, diluted earnings remains in an estimated range of $2.10 to $2.30 per share. We still expect our earnings to be weighted towards the back half the year based on the anticipated timing of new awards and the start of project execution.
 Looking at our balance sheet. At March 31, 2012, our working capital stood at $596 million, which includes $119 million in cash and cash equivalents, up $39 million from $557 million of working capital at December 2011, which included $204 million in cash and cash equivalents.
 Current ratio increased from 1.4 at December to 1.47. During the first quarter of 2012, operating activities used $25 million of cash primarily due to cash used in the Building and Specialty Contractors group, partially offset by cash provided in the Civil group.
 At March 31, 2012, long-term debt, excluding the current portion, stood at $617 million, which is an increase of $5 million from our December numbers.
 I'll now turn the call back over to Ron for his closing comments. 
Ronald Tutor: Thank you, Mike. 
 We believe that 2012 will be a solid year of both earnings growth, but more importantly, the building of our backlog for the years 2013 through 2015. As pointed out previously, we are amongst a group of select and limited bidders on a number of major civil and building projects, of which we are very optimistic about our chances.
 In addition to the 3 major Civil projects we prequalified for to bid over the next 120 days, I pointed out over $3 billion of work in New York City, we are quoting in virtually the same timeframe. These projects are between 3 and 5 years in duration. And we look upon that as the basis for our next 3 to 4 years of revenue as we build around these major opportunities with more normal and smaller projects.
 These significant opportunities, as well as a remarkable pipeline of continuing civil work, supports our optimism as we move forward.
 That concludes our remarks. We will all now take your questions. 
Operator: [Operator Instructions] And our first question is coming from the line of Steven Fisher from UBS. 
Steven Fisher: So it sounds like you are expecting to do around $2.10 in the next 3 quarters although really more second-half weighted, so I guess the first question is, how much better do you expect the second quarter to be versus the first quarter x the 2 issues? And then what are the most important things that have to happen to be able to achieve that ramp up over the course of the year? 
Ronald Tutor: Well, the ramp up is every year. If you go back over the last 5 years, our first quarter is always a small quarter, almost without exception. So what we expect is our units to make their budgets. And when you realize that we only missed our first quarter budget by $0.03 or $0.04 other than the non-recurring items, it isn't as dire as the first quarter looks. So we expect to make our guidance on the basis of just doing what we've said we're going to do, and hopefully, adding some more work and getting runoff as an aside. We also have some very significant events that are in one of our projections, namely, a couple of major litigations that we hope to conclude this year that could significantly infill those profits. So we're still optimistic, to put it bluntly. 
Steven Fisher: Okay. I mean are you anticipating anything from the major infrastructure projects you mentioned in the guidance for the year? 
Ronald Tutor: No. Those are all -- would be awarded by the third to fourth quarter, and they won't impact this year either way. Those are really all, as I said, hopefully, with some successes, those will ensure 2013, '14 and '15. 
Steven Fisher: Okay. And you mentioned the Hudson Yards already under way and, I guess, a $172 million gaming projects, really sounds like it's in the bag. So should we assume that this is the low point in revenues in the Building segment? 
Ronald Tutor: I don't know how we could be any lower unless we started paying owners to build their work. As you can see, our building segments have hit an all-time low and we're hoping to build them back up to some degree and normalcy by the year-end. 
Steven Fisher: Okay. I'll take that as a yes. And then how many change orders are you negotiating and what are some of the issues that led to them, and I guess how come... 
Ronald Tutor: Let me say that under GAAP, we get -- we have probably, all in, between $60 million and $75 million of extra work alone in our Civil group. And under GAAP, even though we're in entitled change, with a written directive from an owner and an agreement to pay, we cannot take any profit on these changes until their concluded price is agreed and a final change is executed. So they're really nothing more than changes in process. We have 1 transit job in New York that has a $22 million change. It's ongoing for 18 months of negotiations and audit that we hope to conclude by the end of the year. It's been enormously slow. There is no question entitlement, but we cannot say we have our contracted margin in it until it's concluded. So these changes have an impact, but it's the nature of the beast. Right now, we have an extraordinary amount of them. The good news is they're changes and we'll get paid. The bad news is we can't take in any operating profit on them until they're set up. 
Steven Fisher: Okay. So what you're saying is the customers have agreed, in principle, to pay them and you're just working out the legal issues to related to that? 
Ronald Tutor: Not even the legal. It's really more how much they pay. 
Steven Fisher: Okay. And so you mentioned a New York Transit, I mean, is that one in the guidance? And what confidence do you have that it will be this year, since it's been 18 months and going? 
Ronald Tutor: Well, I don't -- it's not in the guidance because we haven't included it. Every assurance in the world from New York Transit that they'll wrap us up and pay us by the third quarter, which means it's 50-50. They're all entitled. We have executed documents agreeing to pay, but one of the negatives of New York is everything moves very, very slowly. 
Operator: Your next question is coming from the line of John Rogers from DA Davidson. 
John Rogers: A couple of things. First of all, just back following on the question of the Building segment, at $303 million and a slight operating loss, is that a -- what do you need there to make money in that business, in terms of a revenue rate? And I know all projects are different but, would you need $1 billion-plus to make money? 
Ronald Tutor: I would say, in order to make that segment meaningful, we would have to do between $2.5 billion and $3 billion a year. Otherwise, you begin to question why we're in it for the amount of return, given the amount of revenue and effort. We have always been able to maintain that. The last couple of years, it's just -- it's wound down, we believe we're in the process of restoring it, but I can't honestly say we have yet. 
Michael Kershaw: And I think, John, the other thing in there is also the mix between public and private. So historically, the public stuff has generated higher margins. So that's another factor that plays in -- there's no real straight answer as to what, there's not one number that we could give you. 
Ronald Tutor: Let's put it this way. In our projection for the year, the building business's contribution is so minor it's to be laughable. 
John Rogers: Okay. And in terms of the larger projects that you're bidding on this year, I assume the owners are covering bid preparation costs for the most part, but in the private sector, if you win or lose the job, does it have a significant immediate impact on earnings? 
Ronald Tutor: No, it doesn't have any. We don't get a private job. Typically, we will put a certain amount of effort into a private job but minimal compared to civil. On the big civil jobs, we simply don't propose on a major design build where there's no stipend. In the private side like at Hudson Yards with the related, they agreed to pay us, all of our proposal costs and support for budgeting and pre-construction, and they continued to even though the work hasn't started. So although we have invested a fairly sizable amount of money in reestablishing a New York building office and moving people there to support the Hudson Yards' effort. I think it would be fair to say that most of those costs directly associated with the job, have been paid by the job. 
Michael Kershaw: And John, when they're not being paid by the job or under a stipend, they're expensed as we go. So there's never a big write off if we end up losing a job. You have to expense those under GAAP as you incur them. The extent of that -- they're not under some kind of mechanism for getting recovery from the customer. 
John Rogers: Okay, understood. And just on the Hudson Yards work, is it -- the terms of that, is it essentially similar to the casino, the Las Vegas casino work of a few years ago? And you did most of it cost-plus? 
Ronald Tutor: It's all cost-plus with an option for the owner to convert it to cost-plus with a guaranteed maximum price. 
John Rogers: But presumably with the specialty contracting capabilities now, I'm guessing that you have the opportunity to get better margins than just on the casino work? 
Ronald Tutor: Yes, we have also negotiated the use of our Specialty Contractors in the jobs at specialty contractor margins and offering them 2 choices, our Specialty Contractors either bid directly or they bid against competition with the option for them to convert it to cost-plus with a guaranteed max and a very acceptable level of fee. 
John Rogers: Okay. And then just lastly, I mean, on the Management Services side of the business, a couple of years ago, you'd talked about possibly going after some large private sector programs, oil-type programs. Is that on the horizon at all or is it still just... 
Ronald Tutor: Perfect timing, Bob, you want to handle it? 
Robert Band: Well, John, we've been tracking oil field services work. We've nibbled around the edges for many years. We've done large crude oil storage facilities in Morocco and liquid propane storage in bottling plants in Angola. So we have credentials. We are looking at some work in Iraq in that industry right now and it ties in pretty well, because it includes overhead cover protection. 
John Rogers: And Bob, when do we -- I mean, is that something we'd hear on this year or? 
Robert Band: Yes, it's on my bid list. One of those estimates is being worked on right now. 
Operator: Your next question is coming from the line of Avi Fisher from BMO Capital Markets. 
Avram Fisher: I guess I'm confused about the limited profitability in the Building segment, given that you have like $2 billion in backlog there. So I wondered if you could quantify how much building backlog is there on work that hasn't started and isn't going to start this year? 
Ronald Tutor: It's an active backlog. I don't know how much of it is running out this year versus next year. Is that what you wanted to know out of the $2 billion? 
Avram Fisher: Yes, I mean, I'm just kind of confused way there's going to be limited profitability on a given -- certainly, a fairly large backlog? 
Ronald Tutor: Well, it is and it isn't once you realized how large -- this is an organization that has been doing well in excess of $3 billion down to $2 billion with the overhead accordingly and we've been also compressed by reduced fees in this market. Our building divisions have been under tremendous pressure. The Las Vegas Terminal 3, which was extraordinarily profitable, is done. They have no more to give. 
Avram Fisher: Yes. I mean, I guess when you had $8 billion in backlog in the Building segment, you were burning it at low teen margins, and now you have $2 billion dollars burning at low teen margins, and I guess that's what surprising to me. 
Ronald Tutor: No, it's not building. There is no building backlog burning at low teens. Our building backlog, the only thing that burned at that level was Las Vegas Terminal 3. When we were as big as we were with Las Vegas, Keating, and we were burning the $3.5 billion a year, other than certain select public building projects, almost all of our work went, including the Cosmopolitan, MGM, at between 4% and 4.5% margins. We are now operating at more like 2.5% margins with a margin squeeze. So there is a significantly reduced level of profitability today versus back when. That's why given our overhead, the margins are so thin today. 
Avram Fisher: Right. But I guess, it's $340 million of revenues on a $2.2 billion of backlog is a fairly -- a surprisingly low burn rate, so I'm just curious, should we expect... 
Ronald Tutor: No, not really. If you look at the burn rate over 18 months, $340 million a month, a quarter is about where it is. Well, and remember, the first quarter is, historically, the lowest burn rate because so much of our work is Back East and in areas governed by weather. If you look back in history, no matter how disappointing it is, the first quarter is always demonstrably less revenue, which then, of course, drives profit. 
Avram Fisher: Ron, I touched my shovel once this winter. It was a very warm winter here. It's actually a very good construction weather out here. 
Ronald Tutor: Well, it's true. It's one of those rare winters where it was. 
Avram Fisher: Any sense -- is the Specialty Contractors margin -- is that kind of what we should be expecting, is that a normal margin? 
Ronald Tutor: What is that margin? 
Michael Kershaw: [indiscernible] What we said before is we expected specialty to be in the 6% to 8% range. 
Ronald Tutor: Closer to 8%? 
Michael Kershaw: Yes. [indiscernible] 
Ronald Tutor: Specialty Contractors were making a significant amount of money. Some of them is working for ourselves.  We're probably bidding $1 billion worth of electrical and mechanical in New York City in the next 90 days in conjunction with our Civil group as the lead. So rest assured, our Specialty group is one of our most significant drivers of both margin and, ultimately, profit of all of them. 
Avram Fisher: And are those projects public or private? 
Ronald Tutor: Public. Everything in New York that we're bidding right now is public, with the exception of Hudson Yards, which, since the first major one, won't break ground until October, we have not anticipated any electrical or mechanical until next year. 
Avram Fisher: And I heard that you were going to plan -- try to do the Hudson Yards without union labor, is that accurate? 
Ronald Tutor: No. I haven't got a death wish. 
Avram Fisher: Just sort of general questions on what you're seeing. I'm curious what you guys are seeing in your major markets in terms of the availability and cost of labor and materials? 
Ronald Tutor: We see materials, which has been flat for years, still flat, going nowhere. In fact, increased competition on materials. Labor is absolutely flat, very little if any increases in labor. In fact, one of the things we've been talking to the unions at Hudson Yards for 3 solid months is a reduction in labor cost, where the unions have been very open and decent in talking so accordingly. I think there's a recognition, particularly in the building markets, that labor has to cooperate if they're ever going to get it out of the doldrums. 
Avram Fisher: And I guess, finally, on the Civil work, surprised to hear that you have unapproved change orders. I know your pretty aggressive in making sure you don't work until they're approved. Are there any specific projects outside of New York where projects are burning at lower profitability than you bid at? 
Ronald Tutor: No, no, I wouldn't say that's even taking place in New York, if we ever get our change orders paid. 
Michael Kershaw: Avi, when we said they're unapproved -- they've been approved in scope, it's just the pricing that we're disputing. 
Avram Fisher: So the value of their... 
Ronald Tutor: Avi, the way it works, we call it an unapproved change. The owner issues the change order document, and called change order #3, where they direct you to proceed with the extra work, agree to pay and you then maybe, let's say, it takes 3 months, because some of these are in tens of millions. You present a proposal, then you negotiate. You don't come to agreement, then they audit. And you finally -- sometimes, they'll pay money on account, if it's significant. Other times, not. The contract doesn't dictate. So we find ourselves -- and New York is probably the worst place in the country for protracted delays in payment, but you ultimately get paid. The problem is GAAP does not permit you. If you've got $60 million in changes and you're entitled to earn 15% or $9 million, all we can do is pay the cost. We cannot take any margin into our balance sheet until it's finally settled with the price attached and execute. So normally, that's always there. It's just that right now, we have more significant dollars than we ever had before. 
Operator: We have a follow-up question coming from the line of John Rogers from DA Davidson. 
John Rogers: Just 2 quick things. First of all, I guess, Michael, what's the D&A in the quarter? 
Michael Kershaw: Depreciation and amortization in the quarter was $15.8 million. 
John Rogers: $15.8 million? Okay. And is that a good run rate for the year? 
Michael Kershaw: Yes. 
John Rogers: And then second, I guess, Ron, because it's always a source of questions, your thoughts on the stocks and your plans here? 
Ronald Tutor: Nothing any different. God willing, and the purchasers, I'm probably a week to 10 days away from executing and selling my movie interests. If for any reason, that -- awful as it might sound, doesn't go through, I probably have another stock sale in June or July. 
Operator: We have another follow-up question coming from the line of Steven Fisher from UBS. 
Steven Fisher: Just on the Management Services margin since they're now lower than they've been in a while and you mentioned some increased competition on recently awarded projects, so how much of that margin pressure is the increased competition versus underutilization from the completion of other projects? 
Robert Band: Steve, the best way to answer that is about 30 -- I'd say, a little over 30% of the revenue came from an air base job that we're doing jointly with Civil. So the way the contract accounting goes, the profit on their piece, which is much larger than ours, ends up in their income statement, that's one element. And the other element is on the increased competition, when -- we see increased competition but we haven't changed our margin objectives, it just impacts us in the rate of winning jobs, you follow me? 
Steven Fisher: Yes. So you basically need to see more work in order for the margins to go up? 
Robert Band: We need to match more work, because it's a scalable operation. It can handle $200 million, $300 million, $400 million a quarter easily. 
Steven Fisher: On that note then, I mean, how quickly do you expect, Bob, some of this Guam work to start coming out for bid? 
Robert Band: Well, it was good news that the Japanese have once again agreed to fund a major piece of the military facilities. I'm not sure how quickly that'll come out but it should accelerate it. There's tremendous USAID programs as the military shrinks its role in Afghanistan, and remember, USAID, and this is a historical formula, the USAID increases its spend rate. We're very well positioned with 2 major USAID contracts just for Afghanistan, vertical structures and power and energy, water and energy. So we should see -- I mean, we've got some significant jobs that have bid and we're waiting to hear and are bidding in those regards. 
Steven Fisher: Got it. and then I guess, the containerized housing contract, IDIQ contract, that you have, how steady is the flow of projects coming out of that? 
Ronald Tutor: Well, that was -- in 2011, a lot of our bidding was focused on that program and that's continuing to produce bid opportunities. There is another MATOC  that the State Department will issue that we've already qualified for, which is a form of that, dealing with just a slight skew on the deliverable. So yes, we think that's going to be a good generator not just in Iraq but also Afghanistan as well in other locations. 
Operator: At this time, I'm not showing no further questions in queue. I would like to turn the call back over to Mr. Ron Tutor for any closing remarks. 
Ronald Tutor: No closing remarks. Thank you everyone for our first quarter call in 2012. We look forward to the next one. 
Operator: Ladies and gentlemen, that concludes today's conference. We thank you for your participation. You may now disconnect. Have a great day.